Operator: Good afternoon. My name is Amy and I'll be your conference operator today. At this time, I would like to welcome everyone to the Toll Brothers’ Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. Douglas Yearley. Please go ahead sir.
Douglas Yearley: Thank you, Amy. Welcome and thank you for joining us. I am Doug Yearley, CEO. With me today are Bob Toll, Executive Chairman; Rick Hartman, President and COO; Marty Connor, Chief Financial Officer; Fred Cooper, Senior VP of Finance and Investor Relations; Joe Sicree, Chief Accounting Officer; Mike Snyder, Chief Planning Officer; Don Salmon, President of TBI Mortgage Company; and Gregg Ziegler, Senior VP, Treasurer. Before I begin, I ask you to read the statement on forward-looking information in today’s release and on our website. I caution you that many statements on this call are forward-looking statements based on assumptions about the economy, world events, housing and financial markets and many other factors beyond our control that could significantly affect future results. Those listening on the web can email questions to rtoll@tollbrothersinc.com. We completed 2014's third quarter on July 31, 2014. Third quarter net income rose 110% to $97.7 million, or $0.53 per share diluted and pre-tax income rose 122% to $151.3 million, compared to fiscal year 2013's third quarter. Revenues of $1.06 billion and homebuilding deliveries of 1,444 units rose 53% in dollars and 36% in units, compared to fiscal year 2013's third-quarter totals. The average price of homes delivered was $732,000, compared to $651,000 in 2013's third quarter. Net signed contracts of $949.1 million and 1,324 units decreased 4% in dollars and 6% in units, compared to fiscal year 2013's third-quarter. The average price of net signed contracts was $717,000, compared to $707,000 in 2013's third quarter. On a per-community basis, fiscal year 2014's third-quarter net signed contracts were 5.25 units, compared to 6.24 units in 2013's third quarter. Although this was a year-over-year decline, it was the second highest per-community third quarter total since 2006. Backlog of $3.1 billion and 4,204 units rose 9% in dollars and 5% in units, compared to fiscal year 2013's third-quarter-end backlog. At third-quarter end, the average price of homes in backlog was $737,000, compared to $709,000 at 2013's third-quarter end. We ended the quarter with 256 selling communities compared to 225 one year ago. Eight of these selling communities were acquired as part of our purchase of Shapell Homes in February 2014. That number growing to 13 by fiscal year end, with another 29 openings in the future. Our stockholders' equity at fiscal year 2014's third-quarter end was $3.8 billion, compared to $3.33 billion at fiscal year-end 2013. Revenues and earnings this quarter were up significantly, compared to one year ago. Although net signed contracts were down in dollars by 4%, or $43.5 million, and in units by 6%, or 81 units, unconsolidated home building joint ventures of which we are 50% partners, signed 34 contracts totaling $75.5 million, compared to 22 contracts totaling $17.7 million in fiscal year 2013's third quarter. We are encouraged by our traffic, which was up 13% on a per community basis for the quarter compared to fiscal year 2013. This pattern has continued into August, with traffic up 19% per community versus last August. Meanwhile non-binding deposits were up 18% gross and 4% per community in August, while contracts were down 7% gross and 19% per community. Generally, deposits take two to six weeks to convert to agreements. We've not felt the need to increase incentives to spur home sales because we generally do not built spec homes, we aren’t under pressure to move standing inventory. We are driven by bottom-line growth and are pleased with our continued margin expansion through what we still believe is a recovering, albeit bumpy, housing cycle. We have been particularly pleased with our performance in a number of markets we have targeted for growth, especially Coastal California, Texas, and the urban New York City area. In the coming months, we will be opening a number of new City Living Condo communities for sale in Manhattan and in Metro Washington DC. These include 400 Park Avenue South on 28th and Park Avenue, the Sutton, a JV at 53rd Street and First Avenue as well as Hampden Row in Bethesda, Maryland. With pent-up demand still yet to be unleashed, we are growing community count in attractive locations. Several recent studies, including one last month in Builder Magazine, have rated our land portfolio highest among the major builders in terms of quality of school districts in which they are located. We believe this is a key factor for many of our buyers in selecting a home. We remain committed to finding the best land in the best locations for the best communities for our clients. We believe this leaves us well-positioned as the market returns to more typical levels of demand and new home production. Our Apartment Living division is ramping up. In addition to two completed joint venture communities comprised of 1,450 units, we currently have five joint ventures with more than 1,900 units under construction, plus another 2,550 units in the approval pipeline. These communities are primarily in upscale urban and suburban markets where we also have a strong for-sale presence. We are looking to expand our City Living brand, which we believe will broaden our reach in the luxury market, create value and provide another source of cash flow. Now let me turn it over to Marty.
Marty Connor: Thanks Doug. Third quarter gross margins before interest and write-downs as a percentage of homebuilding revenues improved year-over-year by 160 basis points to 26.8%. Price increases achieved over the last year in excess of cost increases drove the bulk of this improvement. Gross margin improved 320 basis points over the previous quarter due to better mix, again pricing in excess of cost and also approximately 50 basis points benefit from an accrual reversal in the third quarter. We did recognize approximately $6 million of impairments in the quarter with $1.2 million of that associated with land control for future opportunities and the remainder associated with one operating community that has continued to perform below expectations. Third quarter SG&A improved to 10.4% of revenues, compared to 11.5% measured excluding the Shapell transaction cost in the second quarter and 12.9% a year ago. This reduction was primarily a result of higher revenues in the quarter, compared to the previous quarter and the previous year. On an absolute dollar basis, our SG&A has increased as expected with the continuing growth of the company. Our operating margin improved to 12.3% or nearly $139 million -- I am sorry, $129.6 million, compared to 8% or $55.2 million a year ago. Third quarter other income and income from joint ventures was $21.7 million and included gains on land sales of $9.9 million and Gibraltar income of $4.8 million. We have now generated nearly $87 million in other and JV income year-to-date. With an increase in homebuilding, land development and department joint ventures, this area of our financial results is expected to continue to be significant in the coming years. In the third quarter, we recognized a tax expense of $53.6 million and an effective rate of 35.4% of pretax income. As noted in our release, in connection with our plan to reduce leverage and land concentration, resulting from the Shapell acquisition, we have generated approximately $230 million in cash through land sales, financings, release of restricted cash and other strategies. We expect an additional $50 million to be generated in the next few weeks based on signed deals. Our net debt to cap ratio has dropped to 43.3%, from approximately 47% at the closing of Shapell. The average number of shares used to calculate earnings per share was approximately $186.5 million. Subject to our normal caveats regarding the forward-looking statement in today's release and our SEC filings, we offer the following limited guidance. We expect that deliveries in the fourth quarter will be between 1710 and 1910 homes, bringing total deliveries in 2014 to between 5300 and 5500 homes. We estimate the average delivered price per home for the full year will be between $710,000 and $725,000. We expect our gross margin for full fiscal year 2014 to improve by 185 basis points to 200 basis points over full fiscal year 2013. Those numbers are excluding impairments. We will give guidance for 2015 at our fourth quarter call. At this point, I'll turn it over to Bob.
Bob Toll: Thanks Marty. The National Housing Data has been somewhat volatile in recent months. Without real urgency pushing buyers to make a decision, general industry demand continues to be impacted by uncertainty about the economy and world events, improving, but fragile consumer confidence and reduced affordability due to rising prices and limited personal income growth. One data point we do have confidence in is the low level of production compared to historic norms. The population grew during the recession and has continued to increase since then. Based on trends over more than 40 years, the industry should be building 50% more homes this year than its current pace to meet the increased population demographics. At some point, this pent-up demand will be released, which will add momentum to the entire housing market. With our large diversified land portfolio, our suburban offerings to the move up emptiness during the act to that of markets, our established Toll Brothers City Living brand and our expanding Toll Brothers apartment living offerings, we're well positioned as the market improves. By casting a wide net, we remain committed to reach as many niches of the luxury housing market as possible. And now, let me turn it back to Doug.
Douglas Yearley: Thank you, Bob. Thank you, Marty. Amy we're ready for questions.
Operator: (Operator Instructions) Your first question comes from the line of Ivy Zelman with Zelman & Associates.
Ivy Zelman - Zelman & Associates: Good afternoon, guys. Thank you for taking my question. We are just looking at the detail of your new orders and appreciate I think that the market is obviously upset by the results, yet your deposits and future look very strong. It looks as if it really declined substantially in the West and sort of appreciating you are down almost 40% sequentially. May be talk about what happened there and you had given in the past some guidance around Shapell and sort of -- were you holding back or did you pursue too far and the consumer sort of pushed back, just some perspective because it seems as if that's where the maybe downside surprise predominately came from. I could be wrong, but just to start there please.
Douglas Yearley: Sure Ivy. On the numbers, the West was up 33% for the third quarter year-over-year for units. So in terms of where we are now with Shapell we're thrilled. The integration is complete. We are in the process on many Shapell communities of building new Toll models that are not completed yet. When they are completed and when we open with the new Toll models and the Toll homes, we expect prices to go up because the houses are bigger, the houses are fancier. We will be customizing more and we talked about this from before. We closed on Shapell when we thought there was embedded value in simply raising the bar, building bigger and prettier homes and that is still in process. So in some cases, we are winding out of some of the lots that were associated with the old Shapell models in the same phase as where those models were located and moving into new phases where bigger, prettier Toll models will be opening. So that is what is going on now. I mentioned that by the end of the year, by the end of October, we will have 13 Shapell communities. So we'll be adding five in the next couple of months and then many, many more of course to come, but in terms of the numbers out West, they are actually leading the company in terms of where our growth is.
Ivy Zelman - Zelman & Associates: I guess may be just put it -- frame it another way with respect to year-over-year declines in orders and appreciating that there are some timing issues, would you say on a continuum of concerns, you did have year-over-year in August when you reported the same quarter a year ago, you had flat August results in terms of net new contracts and so it looks as if it was an easy comparison. So I think people had been expecting you to do better than a year ago. Would you say that you feel better than you did this time a year ago about your prospects or would you say that it’s really lukewarm in your more tepid or disappointed because I think people are really reading a lot into the August results and the overall quarter order results. How do you feel?
Douglas Yearley: I feel better because I am happier with our diversification. I am happier that we are bigger in Texas. I am happier that we are significantly bigger in California and I am happy with the increase in traffic and the increase in deposits. Remember deposits usually don't convert to agreement for two to six weeks. So while I can't predict what's coming, we are hopeful and feel good about what's coming because of where the traffic and where the deposits are. Obviously if you look at the agreements in August, which really come from June and July deposits, I can understand the market's disappointment, but forward looking with traffic and deposits and the positioning of the company, I feel better than a year ago, we're also very excited about a couple of City Living openings that are eminent, the biggest of course is 28th and Park Avenue South and Manhattan, which should be opening we hope within the next few weeks as soon as we get full approval from the Attorney General's office. So overall, it feels like last year, but a little bit better for the reasons I just gave.
Ivy Zelman - Zelman & Associates: That's very helpful. If I can sneak one more in please with respect to the mortgage side of equation, we've seen some green shoots especially as the more affluent buyer today that’s may be seeing some mitigation of what I would call impediments to access mortgage availability. And if you could give us any green shoots that you’ve seen changes that have been pretty if at all helpful to your consumer especially as you are dealing with maybe some of the more challenged borrowers that might be self employed or that have significant down payments for whatever reason lenders are reluctant if you have any perspective I don't know if Don's on and he can talk to it, but that would be very helpful please and thank you guys, appreciate it.
Douglas Yearley: Thanks Ivy. Don Salmon is here and I'll let him take that one.
Don Salmon: Sure Ivy. We had seen some green shoots and some good news on the self employed front. We're actually seeing people come out with products targeted to self employed people and no verification of income loans with 30% down and good credit scores, but what they instead of just not looking at the buyer at all, they're looking at cash flows. They'll take 12 months worth of bank statements to ensure that the person really has a cash flow regardless of their tax return. So that's -- I think that's really good news and frankly I think it's prudent. We're seeing more people get involved with foreign national lending, which is a plus for national as a growing cohort both here at Toll Brothers and some others I think, and we're also seeing increased interest in non-QM jumbo loans. So that also I think is a good sign for us and others going forward.
Douglas Yearley: Thank you, Don.
Ivy Zelman - Zelman & Associates: Thanks Don. I'll get back in the queue.
Douglas Yearley: Thanks Ivy.
Bob Toll: Thanks Ivy.
Operator: Your next question comes from the line of Buck Horne with Raymond James.
Buck Horne - Raymond James: Hey good morning -- sorry, good afternoon, guys. Going back to the order growth, maybe can you compare this period historically? Have you seen such a sharp divergence between traffic and order growth in the past and ultimately what was the resolution that you saw in those previous periods and did orders finally start to roll in or did you still had to make a price adjustment to improve the conversion in the past.
Douglas Yearley: Okay. So what's happened is if you look historically at the company from '94 to '04, about 1.8% of our visitors signed a binding contract. And that rocketed last year in the third quarter to the highest ever of 3.5% and that was because traffic was anemic as we talked about, but those that came in were highly qualified, highly motivated end buyers. This past quarter 2.7% of our traffic signed a binding contract. So while the comp to last year at 3.5%, the highest ever is difficult, we are still running significantly higher than what happened from '94 to '04. A big part of that is the Internet. I don't think we ever fall back to 1.8% of our traffic buys are home. I think it will stay higher because today's traffic is more qualified, more motivated, more educated, but it's really the comp of this quarter looking back to last year, we’re encouraged, we like more traffic, we don’t mind tire kickers, they come in a few times, fall in love with the decorating. Next thing, they fall in love with the home, and they fall in love with the community and the school district and they become buyers, or they tell friend who are qualified. So we’re encouraged by traffic up and we’re not worried about the conversion ratio. We think traffic should continue to climb and we think the ratio, the conversion ratio while not at 3.5% if it settles in, if it’s 2.7%, it is significantly higher than it used to be historically and I think we’ll be in good shape. So we’re keeping a keen eye on traffic and are certainly encouraged by what’s happened over the last few months.
Buck Horne - Raymond James: Thanks Doug.
Bob Toll: It's little counterintuitive-- you would think with the heightened traffic that you automatically got heightened contracts, more contracts, but that’s not necessarily so. What happens is, when you get the high traffic rates, it's an indication that the whole market is playing with housing again. Not just the exclusive, those who can afford it and not trapped in the homes that they’re in, or not worried about their jobs, or not worried about where the pricing of the housing market is going. So it’s a little counterintuitive and I'm very encouraged.
Buck Horne - Raymond James: Thanks. That’s very helpful guys. I was wondering Marty, if we could maybe get a little bit more guidance on the expected delivery timing of some City Living units that you would expect to close in the fourth quarter? What kind of ASPs we might expect from those and I guess lastly, do you have any indication when the Touraine penthouse might be closing or signing a contract?
Marty Connor: I'll start from the back and Gregg is going to research the details. The Touraine is still actively being marketed for sale and when we have a transaction to announce, we will announce it. With respect to the other city living units, I think one of the things that we didn’t mention earlier is that, we are now open for sale at 1110 Park and those units are $10 million to $15 million. So one of those units is equivalent to a dozen suburban community units and we are near open for sale at 28th in Park at 400 Park Avenue South and those units are in the $5 million range and so there are worth eight suburban units. So, we need to be careful about focusing on the dollars instead of just the units when some of the units we're selling are worth a lot more than our traditional units. Gregg, you have some details on fourth quarter expected deliveries at New York.
Gregg Ziegler: Yes, excuse me. It should be very similar to this quarter and that the average price probably that 8,000 to 9,000 we have some Philadelphia stuff settling, which is a little bit lower priced and then Maxwell C and Hoboken, which is a little bit of a higher price, but somewhere in that range we’re looking at for Q4.
Buck Horne - Raymond James: You said how many units.
Gregg Ziegler: 22nd street New York. Oh right, yes, I don't have a guess in here.
Douglas Yearley: Those were significantly higher in price.
Buck Horne - Raymond James: Okay. You can get back to me if you get any additional detail on the fourth quarter timing, that would be great. Thanks guys.
Douglas Yearley: Thank you.
Operator: Your next question comes from the line of Stephen East with ISI Group.
Paul Przybylski - ISI Group: This is Paul Przybylski on for Stephen. First question is, what level of order decline I guess would you think is acceptable before you maybe start to throw some incentives at buyers?
Marty Connor: Well, we don’t look at macro and order declines. We study it community by community. Right now sales is not telling us that buyers need more incentive to buy. In many places our backlogs are still big and our build times are long and so we are less inclined to incentivize when the next sum sold may not deliver for 9, 10, 11, 12 months, part of that is their own backlog. Part of that maybe a local market still struggling with some labor issues. So it’s a very, very local question and we study it in great detail and right now, we have not seen the need to throw more incentives at virtually all of our communities. As backlogs come down, either because we build thorough the backlog and haven’t had sales lately or because there’s more trades in the market that can build faster, we will evaluate and we will make the right decision to keep the stores open and keep action and keep selling houses, but right now, we don’t see the need.
Paul Przybylski - ISI Group: Okay. And then, my second question, what is the historical ratio of non-binding agreements that actually convert the contracts and did the third quarter hold with just historical norms, is there any reason to see why that might change and given the August numbers you put out?
Marty Connor: It’s in the 60% to 65% range. Thanks Mike; exactly. So, it really ranges from 60% to 65% and in 2005 we got up as high as 70% of non-binding deposits became binding contracts. Right now we’re running, this quarter it was 63%, a year ago was 69%, which was on the high end. So, we’re right in the range now. And I think we’re happy with that and I think that we -- historically that’s just been where the number has always been. I am looking at a chart back to 1994 and the low number on this chart is 59% and the high number I mentioned was 2005, which was 74% for the third quarter.
Paul Przybylski - ISI Group: Okay. Great, thank you. I appreciate it.
Douglas Yearley: You’re welcome.
Operator: Your next question comes from the line of Megan McGrath with MKM Partners
Megan McGrath - MKM Partners: Good afternoon. You gave some community count guidance in your release and I am wondering if in this environment, you are purposely slowing down the opening of new communities as the absorption pace declines year-over-year. And, is there an argument that you should be doing that given that if this flattish order growth continues, you’ll start to lose SG&A leverage at some point?
Unidentified Company Representative: No. We’re not strategically, purposely slowing down openings. We are trying to open as quickly as we can. We still have the age old issues of gaining full entitlements from all the various agencies involved. There are occasions where we have decided to open out a completed model as opposed to opening out a sales trailer, which could delay an opening four to six months while we build the model and decorate it. That’s the decision that is made locally based on whether they think they can gain sales out of trailer. They think they need the pretty model to show off. But we are pushing forward as quickly as we can to get openings and I think that’s the right strategy right now.
Megan McGrath - MKM Partners: Okay. And then, I guess if you could sort of look into your crystal ball, we also know the pent-up demand argument and we’ve got mortgage rates now down versus where they were a year ago. So, could you talk about what you think is going to take to get to kick start housing back into growth mode again?
Bob Toll: It’s how you point your fingers.
Douglas Yearley: We're all looking at Bob now.
Bob Toll: Let me talk about the present administration and our feelings about our ability to handle policy and foreign affairs. We’ve got a locked up Congress. The election hasn’t come to the front of the brain yet, but it’s getting there. And I wouldn’t be surprised as we come closer to the election that we start to focus on a great number of things. There’ll be a lot of promises made for sure. So, I think that’s the next step you can look for as to seeing a sea change in the market. Otherwise, everything that we’ve experienced for the past year seems to indicate we’re going to continue to experience the same elements, which are choppy, choppy seas and sloppy boat ride, but we’re not going back. We are inching forward, but the big game is out there and it will occur.
Megan McGrath - MKM Partners: Okay. Thanks.
Bob Toll: You’re welcome.
Operator: Your next question comes from the line of David Goldberg with UBS.
David Goldberg - UBS: Thanks. Good afternoon. My first question was on sales and sales training and specifically given the choppiness of the market and the sense of lack of urgency among buyers, despite the fact that it feels like there’s not a lot of supply and not a lot of competition maybe at your price point, are there things you can do from a sales perspective to help create some sense of urgency? Are there things that you change maybe in your sales technique, in your sales delivery, especially since you are not using incentives necessarily to create that sense of urgency, how do you get your sales little bit better at closing?
Douglas Yearley: Well, we're very proud of our sales teams. We think we have the best in the business. They are trained daily. We have national training teams, regional training teams, local trainers. We run contest for them regularly, send them on trips, give them extra money. We are -- there’s nothing more important to us than the sales team. They're out there on the weekends, working hard away from their families. There are hugs all the time. They are trained all the time. We make changes where necessary and maybe that a very good sales manager, which is burn out in a certain location and we’ll flip flop sales people and it’s amazing how the new sales person goes in the basement and gets the visitors card out of the old shoe box and starts calling people that the prior sales manager was just tired of calling. So little changes like that, we’re regularly employing, but it’s more of the same, David. It’s not -- not a lot more we can do on the sales side except continue to motivate and make sure we have the best teams out there and give them the best products and the marketing department supports sales and you know how proud we are of our models, our brochures, our website, our ads everything we do…
Bob Toll: Almost in-house. So when they need display or notices, we can flip -- color brochure out in the market in a day, and that impacts the market greatly.
Douglas Yearley: But we are constantly looking for ways to create a sense of urgency with the beds buying programs being announced to be cut back. We consider creating some urgency around the rates rising, but the same day that they announce the cutback, it went down. So it was tough to drive a sense of urgency and similarly without as much pricing power as we had before, the consumer does not see the prices going up like they did 12 and 18 months ago.
David Goldberg - UBS: Okay, got it. And then just switching tact a little bit, if we can talk about land position and it feels like for the question Megan asked, it seems like maybe you are experiencing and correct me if I’m wrong a little bit more delay at the municipal front in terms of bringing land to the market entitlement process, would you characterize that as being accurate that delays or expending a little bit and does that impact your appetite for land on a kind of -- at this point in the cycle given the kind of stagnant demand and again maybe little bit of delays in terms of bringing some of the communities online?
Douglas Yearley: I don’t think anything has changed on the land entitlement side. We’ve always had this issue. Occasionally, we get lucky and we’re ahead of schedule, but more likely right and we think we have every permit. There’s one more permit that pops up or there’s one more person in an agency that decides to review…
Bob Toll: That’s especially true when you're building at the corner of Maine & Maine. If you are out in [Belmar] (ph), Boulevard, you can do a little more and you can get it done in a lot of less time. When you are at the corner of Maine & Maine, you are subject to a lot more inspection and introspection by the committees that rule your fate.
Douglas Yearley: Right. So we are not holding back on land buying because of entitlements. We’re being careful on land buying because we underwrite to we think a pretty high standard and the deals have to pencil. We did spend a $167 million in Q3 on new land acquisition. So we're still in the business, but we're being careful about our growth and the deals have to work and that’s market driven, not as much entitlement driven.
David Goldberg - UBS: Thank you.
Douglas Yearley: You’re welcome.
Operator: Your next question comes from the line of Nishu Sood with Deutsche Bank.
Nishu Sood - Deutsche Bank: Thanks. Wanted to the August commentary just review that for a second. The deposits up strong 18% year-over-year, the contract is down 7%. You mentioned that two to six-week lag between the two. So, should we read into that, that the cadence of what you’ve seen through the summer is a weaker July and then somewhat of a rebound in August?
Douglas Yearley: No. I think -- I think the summer has been fairly steady. I think recently with traffic creeping up and with deposits improving, we feel better about maybe call it September and October with no promises, but it just feels a little better, but overall, I think the summer has been fairly steady.
Nishu Sood - Deutsche Bank: Got it. So the difference between those two numbers is probably just a combination of maybe fluctuations and conversion of deposits to contracts or comp issues?
Douglas Yearley: I think so. It's also -- we have openings. It feels like almost every week around here of new communities. And so, when you have an opening, you may have a burst in traffic for a week. You may have -- you may take 10 deposits in a week. So, it's -- don’t get too wed to these summer numbers. They move week-to-week and May, June, July, August are not the brightest months of our business. So I wouldn’t read all too much into it.
Nishu Sood - Deutsche Bank: Got it, got it. And then a broader question on your volume and pricing strategy, you folks as you have pointed out many times have a much higher threshold for using incentives or pricing as a tool to goose volume. So, in this environment where you mentioned and other builders have mentioned pricing flattening out a bit, and the order prices have obviously softened from last year. Folks are looking at your order number coming in short of the broader builder group and against expectations. Should we -- can we read that as a function of the differences in your pricing strategy that you’re going to be a little bit more reluctant to versus your average builder to use pricing to drive volumes?
Douglas Yearley: I guess so, we’re not a spec builder. So we certainly don’t have inventory hanging out there that we’ve incentivized to move.
Bob Toll: In two of our sales, I don’t want to comment -- step it up to run our business, I don’t want comment on what the other builders may do.
Douglas Yearley: Right. But if you look at our margin and our margin expansion and our commentary about not adding incentives, not feeling the need to, I think from that, you can draw your own conclusions as to what we’re thinking and how we’re running it. Okay.
Martin Connor: I think we also have the month of July in our numbers and most of the other guys cut off at the end of June and so they have April, May, June. We have May, June, July.
Nishu Sood - Deutsche Bank: Got it. Thanks. Appreciate the color.
Operator: Your next question comes from Stephen Kim with Barclays.
Stephen Kim - Barclays: Hey, guys. Thanks very much for taking the questions. Couple of things, I guess first, you made a comment about I think $167 million on lands balance, wondering if you had the development amount in there and also if you had your construction in progress number?
Douglas Yearley: Gregg?
Gregg Ziegler: Correct. Hi, Stephen, it’s Gregg. So land development spend for Q3 of ’14 was $152 million and then construction in progress at Q3 ’14 was $3.321, I am sorry, $3.322 billion.
Stephen Kim - Barclays: Great, all right. And then you’ve made some comment about accrual reversal 50 basis points that benefited the quarter, I was wondering if you could just elaborate on that a little bit and then also was there any purchase accounting if you could quantify the amount of purchase accounting that hit the quarter that would be great?
Martin Connor: Sure. So in certain communities if you build in excess of a certain number of units or square footage or whatever, the town says you need to widen the road or put a bridge in or something like that. So in this particular quarter add a community, we came to the conclusion that we would not trip that threshold even though we had been accruing as if we would. So we reversed the component associated with that accrual. Your second question on Shapell purchase accounting, again that was a headwind for us in this quarter and probably cost us a 150 basis points in margin, similar to the second quarter. 
Stephen Kim - Barclays: I think it's more than you were originally thinking, right?
Martin Connor: Yes it is.
Stephen Kim - Barclays: Does that mean that there’s going to be less in future period?
Martin Connor: Correct.
Stephen Kim - Barclays: Okay. Are we pretty much done, you think?
Martin Connor: I think we aren’t done quite yet but it won’t be nearly as meaningful as it was in the past two quarters.
Stephen Kim - Barclays: Okay. Well, that’s good. I guess my last question relates to your closing price. Relative to your backlog price, you’ve given guidance for the aggregated amount combining City Living and Traditional, but I was observing your Traditional Home Building backlog prices. I think I must have it incorrect, it's $702,000 in your closing price this quarter was $724,000, so you’re inverted there with the lower backlog price on averaging your average closing price and so should we be expecting your closing price to decelerate or actually declined sequentially from that $724, 000 and was there anything about that $702,000 ending backlog price in Traditional, which maybe is a little unusual, maybe you think about resuming upward trajectory going forward.
Bob Toll: Didn’t we have $737,000 in backlog?
Douglas Yearley: So he is asking about Traditional Home Building ex City Living.
Bob Toll: Okay.
Marty Connor: And so Stephen, the Stephen the backlog is just a constant flow through from prior period contracts and then some of it starts to settle through. So when you look back over the quarters prior to that, you were riding contracts Traditional Home Building, $720,000 to $740,000 and so that drove the settlement number up to $725,000 this quarter and then that just tends to wash with the current period contracts, which Traditional Home Building are $700,000 and you end up at $702,000 in backlog. So I know we're telling numbers out actually, but that's the typical natural flow and the resulting backlogs.
Douglas Yearley: Stephen, it’s a bit of a tri phrase we use around here but it has to do with mix. We settled single family homes in the upper 60%s and we sold single family homes in the lower 60% of our total volume this quarter. So the bigger houses generally sell for more and we had a little bit of a mix shift and that’s independent of any geographic mix shift, which can also impact things.
Stephen Kim - Barclays: I totally followed everything you were saying. I guess I was curious as to whether you see here any connection between some of the oddities you’re seeing in terms of the traffic versus the contracts, whether there’s a certain kind of buyer who is dragging his or her feet maybe at the higher end or anything like that. I’m just grasping for some rationalization here, but I was curious as to this aberration in the price, being in somewhat inverted with your volume disparity between traffic and contracts. Do you see any connection there at all?
Bob Toll: No. Okay. Thanks a lot guys. Appreciate it.
Bob Toll: You’re welcome.
Operator: Your next question comes from the line of Eli Hackel with Goldman Sachs.
Eli Hackel - Goldman Sachs: Thanks. Good afternoon. About your diversified -- the company had tremendous amount, are you happy broadly with your exposures or as you look even a little bit further into future, would you perhaps like even further reduce your reliance on the I95 corridor, perhaps get even, I know you’re expanding in Texas with a bigger or another maybe perhaps some other Southern states that you’re not as big in right now.
Douglas Yearley: We’re very happy with it. As I said, the move into Texas and California and three years ago the move into Seattle were strategic and we’re thrilled to have more action out west. I think naturally the 95 corridor as a percentage of our overall business decreases as it has been because we will continue to buy ground in the other places I’ve mentioned and it’s very difficult to find land and get it entitled in that corridor. That is not a growth corridor. There’s not a lot of big tracks of land laying around that has not already been protected in the open space and so there’s many more opportunities in Denver and Las Vegas is coming back and California, we’re seeing some new opportunities and Texas, lots and lots of opportunities, so I think naturally you’ll see less and less out of the 95 corridor, which is good for the company. It’ll still be a major part of what we do. I’m sure that entire corridor will be the largest area for us but it will be decreasing.
Eli Hackel - Goldman Sachs: Got it, and then Marty, you guys have done a great job ramping the other income equity line item. I know you gave some numbers. Is it possible just to repeat them and it’s pretty lumpy. I’m don't know if there any help guys maybe help us understand what that line item could be or some help on a go-forward basis, just it does move around and you guys are selling some lands. I didn’t know you announced a land sell on the call before.
Marty Connor: The best I can do for you Eli is in our 10-Q, we have a foot note. I think its number 13 that outlines our other income and if you look back at the past 8-Qs, you’ll see the numbers in there that I would call are more recurring, such as interest income or our security business or our retained deposits etcetera, so you have a base line associated with that. The other pieces of joint venture income are more unique and aren’t as steady at this point. When we get the apartment business up and running, we may have a bit more steady cash flow and income to report to you as well as a periodic gain on sale, but it is unfortunate that I can’t give you more guidance than that. We have given you some detail on the backlog in our joint ventures, our Homebuilding joint ventures. The vast majority of that is coming from Brooklyn Bridge Park and I believe we have that as fiscal year '16 delivery.
Eli Hackel - Goldman Sachs: Got it. All right. Thank you very much.
Douglas Yearley: You’re welcome.
Operator: Your next question comes from the line of Jack Micenko with SIG.
Jack Micenko - SIG: Hi. Thanks for taking my questions. It looks like on the order side the soft spot this quarter was mid Atlantic and Doug, I think you kind of were getting to this maybe on the last question, but is that more function of the market demand or is that more a function of your community count trends on a year-to-year basis.
Douglas Yearley: Market. Pennsylvania, Maryland, Northern Virginia and North Carolina have been slow.
Bob Toll: Maryland?
Marty Connor: Yeah, it was exceptionally soft.
Bob Toll: A good guess because if you take a look at the stats of percentage of GBP coming out of the private market and coming out of the government private market is going up and the government is going down in a substantial amount.
Jack Micenko – SIG: Right.
Bob Toll: And when your government stops spending, all the consultants and other fans that live off of taxes in the United States Government are not as anxious to buy a new home in the farm where the golden goose used to lay eggs every day. So that might have quite a bit to do with it and I’m convinced that in the low run, you’ll see a more normal spending rate coming out of the government as has always happened in good times and bad times generally your government grows.
Jack Micenko – SIG: Okay, and then you know this corner of Maine and Maine, with the price increases we’ve seen, how do you guys currently feel about supply of existing inventory in your markets. I guess on one hands it's good because it frees up and the buyers now more active, on the flip side maybe it makes competing properties more of a consideration or just availability as people maybe -- are feeling better about their equity. Any thoughts on supply, I mean it's done a bright spot in that supply has been fairly constrained so far. At what point do we sort of bump up against sort of see some supply hit the market with price increases that we’ve seen over the last year and half or so.
Bob Toll: Well, I’ve spoken to in the past, has been the availability yes, since the Census and Commerce put out these numbers every month and they’ve been pretty consistent with the 6% supply number to the market and that number is 6% at the very low current pace of sales. If you get a bump up in the current pace of sales then that six goes down with three, it can go to a nothing with that a whole lot gyrations in the market. You can be just a little better than we’re right now and find all your inventory gone. Just a little better than we are right now and find all your inventory gone. And when that happens, it’s good times for us and bad times for buyers.
Douglas Yearley: And in Arizona, remember we went from 15 months of supply down to three or four months. Its felt like overnight market took off and it was -- so it can happen quickly when it does.
Jack Micenko – SIG: Right, right definitely. And then just real quick, you said $5 million per at 400 Park, how many units are we talking there that go up for sale and can then can you give us the same math on Bethesda given its solely owned average unit price and then the unit there swing at $1 for -- where we start to see the orders coming and going forward in the next quarter or two?
Rick Hartman: This is Rick Hartman. Beside those 55 units average delivered price there is about $1.3 million.
Jack Micenko – SIG: Okay
Rick Hartman: And we expect closings I would suspect 1 of 16. 400 Park Avenue South, it should open up in September this year. We have 81 units. The average delivered price there is slightly over $3 million and we shipped up closing there 11 of 15.
Jack Micenko – SIG: Okay, great. Okay thanks for taking the questions.
Rick Hartman: You’re welcome.
Operator: Your next question comes from the line of Adam Rudiger with Wells Fargo Securities
Adam Rudiger - Wells Fargo Securities: Hi, thanks for taking my question. You talked a little bit about in your prepared remarks about price versus cost, so I was wondering if you could just update us on what happened this quarter and maybe any thoughts on next year if you’re the pricing power you talked about stays where it is cost increase what kind of impact in gross margins that could have?
Douglas Yearley: Sure. So we had price increases, sales price increases for the quarter that average $6,600. We had incentives that have stayed right at $20,000 this is all averages and that’s pretty much been the same for the last 18 months. And cost in the third quarter increased by $2800 on average half of labor and the other half was concrete. In Florida and Texas are experiencing the most pricing pressure on the cost side.
Marty Connor: As it relates to margins for next year, Adam we are going to differ that until the fourth quarter, but I think you are talking about two headwinds there, one being less pricing power. The second being more cost pressure, but we have the tailwind of less Shapell or just accounting. So more to come on that, but we got some plusses and minuses.
Adam Rudiger - Wells Fargo Securities: Okay. Rest of my questions have been answered.
Douglas Yearley: And we have some big city living openings and we have some new Toll models at Shapell land. It should also be tailwinds.
Bob Toll: They should help; the new Toll openings. You got five at Shapell this year and 14, you got 29 in Shapell beyond that. So we have the question which is why we are deferring for three months as to whether those new openings are going to deliver in October of -- ’15 or November of ’16.
Marty Connor: Bob and I are focused on orders and you focused on delivery, understand.
Adam Rudiger - Wells Fargo Securities: So your sense then I mean could be that given the Shapell and given the City Living some of the other initiatives can you -- let's say the overall market and all your competitors are more static in terms of pricing power, do you think you can those two things will give you an opportunity to perhaps show some better results?
Douglas Yearley: Well we are pretty pleased with the results we delivered here and as I said before, we’re going to talk about our expectations for margins in ’15 in our fourth quarter.
Adam Rudiger - Wells Fargo Securities: Okay, thank you.
Douglas Yearley: You’re welcome.
Operator: The next question is from the line of Michael Rehaut with JPMorgan.
Michael Rehaut – JPMorgan: Hi, good afternoon. Thanks for taking my question. First I just wanted to focus on gross margins for a moment. You had broken out Marty the impact of the purchase accounting and discussed the accrual reversal. And you also talked about the fact that I guess maybe despite orders coming in a little late of investor expectation that you are comfortable with pricing and incentives. You know when you are looking at 400 bips, 500 bips or greater gross margin expansion over the last 18 months or so and particularly given that the purchase accounting really is suppressed even net of the reversal could have been even higher this quarter. Just trying to think in terms of 2015, I’m not necessarily asking for guidance here, but is there any reason to think that gross margins could slip from second half of ‘14 particularly again given the suppression to a degree of the margins this year by the Shapell accounting?
Martin Connor: Well, it sounds like you’re looking for margin guidance for next year.
Michael Rehaut – JPMorgan: I’m not asking for guidance…
Marty Connor: We will address that in the next quarter. I’ll just reiterate -- we do have some headwinds, right. Pricing powers isn’t where we want it to be and cost pressures are real and as you’ve mentioned Shapell lack of purchase accounting should help us and we’re going to leave it at that.
Michael Rehaut – JPMorgan: Okay. Fair enough. I guess just also on community count growth this is also kind of '15 forward-looking type question, but just directionally does there any type of thoughts you could give us, you looked at where you were in 2013 and your community count was pretty stable throughout the year, maybe just picking up in the fourth quarter, even ex-Shapell you had a nice acceleration in community count in '14. You had maybe a little bit of delays in terms of relative to your expectation for how to finish off the year, directionally should we expect community count to continue to grow in 2015?
Douglas Yearley: Yes.
Michael Rehaut – JPMorgan: Okay.
Marty Connor: There are lot of money and a lot of overhead.
Michael Rehaut – JPMorgan: And then just lastly, guys, the tax rate, how should we think about the full year, for this year, and also in 2015?
Marty Connor: I think for the full year this quarter is not too far off for what we would expect for the full year. We’re benefiting a little bit from Section 199 deductions, which is the manufacturing deduction. And we’ve also -- I’d say eroded a little bit of some state tax valuation reserves and next year, we’ll give you next quarter.
Michael Rehaut – JPMorgan: Okay. So, basically the full year, this year is equal to the third quarter, it would be 4Q would be a bit higher, if you 200 bps higher than 3Q, it’s that fair or…
Marty Connor: As we said here today.
Michael Rehaut – JPMorgan: Okay. All right. Appreciate it, guys.
Operator: Your next question comes from the line of Mike Dahl with Credit Suisse.
Mike Dahl - Credit Suisse: Hi, thanks. I wanted to revisit the question of traffic versus non-binding versus orders for a second and maybe ask from a different perspective. If you look at traffic being up in the third quarter, orders down, traffic up in August, orders down, understanding there’s a lag there, but have you look at it more granularly whether there’s a change in the business mix either geographically with Shapell coming on or City Living product-wise where structurally in the near-term you’d expect that difference in traffic per community versus orders that persist?
Douglas Yearley: We have looked at it that way and part of the increase in traffic is attributed to California. We’re bigger in California and California communities have always had more visitors than other parts of country particularly the East. But with that said particularly in August, traffic is up everywhere. So it’s not just because of California, but again, that is a portion of the explanation. And beyond that, I mentioned before that when a community opens the first few weeks, in many case it pent-up demand and we’ll have some huge traffic numbers before it settles back into a normal number, and so some of that goes on. But beyond that is really nothing else to draw from it. We’re happy that traffic is pretty much up across the country even taking the California growth out.
Mike Dahl - Credit Suisse: Okay. That’s helpful. My second question, Doug I think you mentioned in the opening remarks that the Suttons now scheduled as a JV, if I recall correctly that was assigned as a wholly owned community prior, so just curious, what was the decision process behind JVing that and is that what was responsible for the gain on land sale in the third quarter?
Douglas Yearley: No. That has been agreed to but hasn’t closed. As we evaluated that particular deal in conjunction with all of our holdings in New York, we believed that there was land appreciation that we could capture by selling a piece of it and that we could still retain some upside by continuing to be a partner in it. So we will be roughly a quarter of that deal moving forward. Once it’s finally executed, and it was really a function of capturing some land sale gain now, although now would be the fourth quarter or fourth quarter depending on when this closes and having some money to spend in another pocket in New York as a result of that.
Mike Dahl - Credit Suisse: All right. So it is a part of the $50 million then that you expect to come in that you commented about.
Douglas Yearley: That is not part of that $50 million.
Mike Dahl - Credit Suisse: Okay. Got it. Great. Thank you.
Douglas Yearley: Welcome. 
Operator: Your next question comes from the line of Michael Roxland with Bank of America Merrill Lynch.
Michael Roxland - Bank of America Merrill Lynch: Thanks for taking my questions. Say a couple of quarters ago you mentioned that you repositioned yourself in Vegas and then Reno at lower price points. How was that lower price point product doing and having seen progress with that strategy, are there any other markets where you’ve lowered price point to drive maybe better orders?
Douglas Yearley: It’s worked really well in both Vegas and Reno. Scanning our Vegas offerings we range from the mid 200s to the high 600s in terms of delivered price and in Reno we range from the low 300s up to one community that’s actually at $900,000, but most of Reno is in the mid 3s or the mid 5s and both markets are hot. We are well positioned and looking to grow. We have 800 plus or minus lots at Inspirada that were basically written off through the downturn and we’re in great position there as Inspirada has been repositioned and is taking off again. Are we doing this anywhere else? Not nearly as much as Vegas and Reno. There are some isolated cases where we’re bringing in some smaller homes -- sorry Rick.
Rick Hartman: Orlando.
Douglas Yearley: Orlando is an example. Thank you, right. We were building million plus homes in the Windamere area and while we still do that, we have taken advantage of some opportunities in other parts of Orlando where the homes in the force.
Rick Hartman: Houston and Sienna? 
Douglas Yearley: Houston and Sienna, well we’re certainly selling land to other builders that are for lower priced homes and some of what we’re doing in Sienna, which is a large master plan south of Houston, is at a lower price point. So it’s isolated. It’s occurring, but it's isolated and it’s certainly not part of our longer term strategy for us.
Michael Roxland - Bank of America Merrill Lynch: But it's a time that you could capitalize upon in the near term, so can we expect to see maybe a little bit more of this, particularly if sales stagnate for next couple of quarters?
Douglas Yearley: I don’t think so. I think it was more of what was going on from '08 to '10 where the land was being repositioned. Right now, we’re still confident that Homebuilding is recovering that while there have been some bumps, we’re still heading up and we’re positioning ourselves to take advantage of that. So it could happen, but it would be sort of a one-off type of thing. I don’t think you’ll see more than that.
Michael Roxland - Bank of America Merrill Lynch: Got you. Thank Doug, and then one just more theoretical question, as you look back on how this year has progressed thus far, what would you do differently going into the year, if anything?
Douglas Yearley: Well, we do differently going into the year.
Bob Toll: You mind to raise prices in the first quarter. It might have taken more production. Typically we’ll sit there on a Monday reviewing the action for the past week and say “all right, two more and up a percent”, knowing what we now know about the market for the last year. Perhaps we should have said, “take four and then go up 1%.” That might have encouraged more production, which would have made everybody happier. But this is not a major thing. As the market stagnates, this was just said. We’re more than likely to go along with the stagnation. Just keep our boots and stay where we are in terms of offering because our ground is so valuable. It’s not a fungible kind of thing. We definitely don’t want to burn it off and sell it. We don’t want to create pace just to create pace and give away the potential profits from well positioned land.
Michael Roxland - Bank of America Merrill Lynch: Got you. Thanks for all the color and good luck finishing the year.
Douglas Yearley: Thank you.
Operator: Your next question comes from the line of Kenneth Zener with Keybanc. 
Douglas Yearley: Hi Ken. 
Kenneth Zener - Keybanc: Gentlemen?
Douglas Yearley: How are you?
Kenneth Zener - Keybanc: I’m doing okay. I’ll give you guys a feel, there is choice here between 2015 margins we’re talking about orders, as soon you give us order. So we think your orders are largely following normal seasonal trends, which can be measured sequentially through time. In contrast to May I think you’re expecting accelerating order pace outside of seasonal patterns, so my question is are you comfortable operationally or does it matter with the order pace being where it’s at operationally. If your SG&A is already in a fairly good zone where you were in '01 to '04, gross margins are good. It’s harder to open up community. So it sounds like from your tone, you guys were actually okay with orders because they followed seasonal trends as opposed to something else or do you need to get your pace up, which helps with costs obviously.
Bob Toll: What we do again on the Monday meetings is take a look at our backlog and analyze internally what pace we need before we’ve got to fire off some overhead. We’re far from that now, thank goodness. So we’re pretty much guided by -- on the bottom side by the overhead requited to keep the job moving at a reasonable pace.
Kenneth Zener - Keybanc: And you’re not in any need to reduce that because your costs are good, so the seasonality, I mean your absorptions, you guys look at it community, but there’s other ways to look at it, .i.e. just collectively as a company and it does follow seasonal trends and it seems like the expectations that you had were more less in line with what you guys had expected, correct? For that third quarter, not this august.
Bob Toll: I hate to toss away a giveaway, but we thought that would probably be faster than it was.
Douglas Yearley: Looking back at the last year and thinking about the growth that we saw in ’13 and how deep and dark and long this last housing depression was, we thought the pent-up demand would continue to build and ’14 would be a significantly better year than ’13 and I think if you asked any CEO of any of the big publics, they would tell you the same thing. So are we disappointed in flatter slightly negative order growth? The honest answer is yes, but are we happy with the way we've generated strong margins off of our business, that answer is yes and so things continued as they are. Right now we would not have to downsize the company. Our backlogs are long and we’re very happy with the positioning of our land, very happy with the brand and what we’ve done to manage and enhance that brand, so would we take today’s market? We can live with it. We would like it to be better but it’s okay.
Marty Connor: Our backlog is up compared to last year and our prospects are good based on what we know we’re opening in New York and other places and our land holdings are good. So while the year and in particular the quarter from an order’s perspective has not met our expectations, we still remain positive on a longer term.
Kenneth Zener - Keybanc: Thank you. 
Operator: Your next question comes from the line of Robert Wetenhall with RBC Capital Markets.
Unidentified analyst: Hi. This is actually [Indiscernible] filling in for Bob. In the past you guys had mentioned that you’re targeting a longer term gross margin in the mid 30% range for the high rise buildings and mid 20% range for the traditional single family homes. So first are those targets still correct to the long term and then what portion of your total business you think the high rise buildings can eventually represent?
Douglas Yearley: Yes their margin guidance is correct and we’ve always said that 15% was a nice number for City Living. We saw the company growing at City Living was growing so we didn’t see that number getting out of line. Right now, Gregg we are significantly below that. But as you know the business is lumpy, buildings sell and two years later they deliver, so it’s pretty hard to track that and that number can bounce between 5% and 15% as it really has for the last 10 years since we started City Living. But that I think 15% is a number we are very comfortable with.
Unidentified analyst: Got it. Thank you.
Operator: Your next question comes from the line of Joel Locker with FBN Securities
Joel Locker - FBN Securities: Thanks. Just on your backlog conversion your West was at 42% versus 29% a year ago which like increased the overall average or year-over-year you did better than you did a year ago. Do you – and I imagine that’s a lot to do with the current Shapell, but as you phase more into the Toll product and the Shapell land, do you expect the conversion rate to be elevated I guess in the third quarter of this year?
Douglas Yearley: Well I think you almost answered your own question except I would say the conversion rate this quarter was elevated compared to what we would expect it to be going forward.
Joel Locker - FBN Securities: Right.
Douglas Yearley: Because Shapell was more of a spec builder and had more standing inventory that we have for the most part worked through right now.
Joel Locker - FBN Securities: I understand. And on the – I guess how many communities were opened in the West, the overall region at the end of the third quarter instead of that number?
Douglas Yearley: Communities in the West at the end of the third quarter was 72 out of 256.
Joel Locker - FBN Securities: 72 out of 256, and just one last one on the – on the Shapell community the 29 that were supposed to open after the fourth quarter, how many rows do you think will open in ’15 and then how many in ’16 and beyond?
Douglas Yearley: That’s a good question. I mean it would be a guess; the real guidance of ’15 doesn’t come out until next quarter, but given the guess. A good better half in ’15 and next quarter when we give you our best guess a community counts for the full year we can get a little bit more specific if you like.
Joel Locker - FBN Securities: All right. Thanks a lot.
Douglas Yearley: But it’s not our intention to sell all our Shapell homes next year.
Joel Locker - FBN Securities: All right. Thanks a lot guys.
Douglas Yearley: You’re welcome.
Marty Connor: Now you go back to one on one.
Operator: Your next question comes from the line of Jim Krapfel with Morningstar
Jim Krapfel - Morningstar: Hi good afternoon, thanks for taking my question. So would see a U.S. Census stated this year we seen a continuation of multifamily becoming greater mix of total starts. And I’m wondering if you think that will continue and just broadly speaking your overall strategy with City Living in Apartments and as you kind of see those businesses as a hedge against maybe a multi family being a bigger portion of your mix going forward
Douglas Yearley: Well we don’t look at City Living that way because our City Living is for sale and very expensive. The Apartment business we got in there for two reasons. One is the hedge, we all wished we had a big apartment portfolio through this downturn, and the other was to leverage all the synergies and operations of Toll Brothers because we have land people in these markets and we navigate entitlements and builds and we have a great brand, we know how to market. So we got into it for both of those reasons, we are thrilled with it and we look as we said several times today, we look to grow it. Do I think the census data will continue to show that multi family will grow. I think what’s going on right now is kids were getting out of college and they are getting jobs, but not the jobs they thought they get. They are sleeping on Mom and Dads cash longer than they ever thought. They are getting married later, they are having kids later, so they are renting longer than prior generations and that is causing more multifamily and less home ownership. That will change as the economy improves and the kids get better jobs and get out on their own and also as the echo boomers do get older as they are into their 30s and get married and have kids they are going to be buying houses. So, long-term, no, I don’t think that’s the right answer, but short term I think Census has it.
Jim Krapfel - Morningstar: Okay. Then where do you see your apartment business long term in terms of maybe your joint venture income as a percent of pretax income and just ballpark range of where do you see it in long term?
Marty Connor: Well, I think the cost from a gap perspective apartments depreciate, the income recognized on a run rate basis is going to nominal until we sell a building, in which case we’ll have sizeable gain on sale.
Jim Krapfel - Morningstar: Pardon me. And Bob is a bad seller. So, we don’t want to project any of those gains until we get his arms effectively twisted behind his back.
Jim Krapfel - Morningstar: All right. Thanks guys.
Operator: Your next question comes from the line of Jade Rahmani with KBW.
Jade Rahmani - KBW: Thanks very much. On City Living can you give us a sense of the pipeline of future investment and competitiveness on new deals?
Douglas Yearley: On new deals -- right now the deals flow excellent coming out of New York. It is difficult coming of DC.
Marty Connor: And we hit the pipeline info you should get it.
Bob Toll: Yeah. We are still in various stages of development from in the ground to pin blank throughout New York City.
Douglas Yearley: None of these includes speculative things that we’re thinking about.
Bob Toll: That’s all controlled.
Marty Connor: And then you add to that, what we have up in Hoboken is not 40, 50 units that we own up Hoboken in planning or development, right and then we New Jersey City is 950 of which we have 435 in the ground.
Bob Toll: That’s apartments and the balance was undecided. And then beside right now we just have one. We’ve been snooping around to see San Francisco, nothing yet. And we have a Philadelphia operation right now that is primarily -- all step build, it's all low rise. In terms of deal flow when I wasn’t sure where your question will head at. Right now we’re seeing excellent deal flow at the New York City.
Jade Rahmani - KBW: Can you give sense of the competitiveness on new deals and also how you’re sourcing these deals if their auctions are broker transactions, any of your proprietary source or off market?
Marty Connor: If there is off market, that’s a tough. Most of it is broker controlled in New York. The DC stock even that is probably sourced by our land guys going directly to the owners. They see vacant apartment or building that they feel is being unused that’s how we’re -- these generating leads in the D.C. market. We have two on the acquisition side there.
Jade Rahmani - KBW: Okay. And then just given the nature of New York City, have you considered expanding sort of the business profile to include condo conversions or anything beyond just ground up development?
Douglas Yearley: We did one in Hoboken that was very successful.
Marty Connor: But it wasn’t really – oh, you are talking about the market fatigue, right. Yeah, that was exclusive.
Douglas Yearley: We haven’t -- we have not yet found anything on the New York side. We’re not opposed to it, but we go in eye wide open, because it's usually more expense to convert than it is to built new, so we’re very careful. One of the problems is, the lot of those old buildings may have 8 foot ceiling height, which is tough to drive price in New York when everything else is 9 and 10. So, it’s difficult, it's not a big part of our business. We rarely see conversion deals.
Marty Connor: We don’t. And lot of times makes the value on these buildings and the air rights. So now we got to take a low rise building converted then you got to build on top of it. And the engineering involved is substantial and you look at one building that we were going to do a conversion on and we just made sense to tear it down and start over.
Jade Rahmani - KBW: Okay. And then just lastly does anything going on in the landing market with the increased liquidity available for commercial real estate landing both on development side and transitional landing change, how you are approaching business, for example do you expect to use JVs increasingly going forward, anything on that?
Bob Toll: For our apartment business we will continue to use JVs and our structure will probably be totaling at a quarter or less of the equity and outside equity source for three quarters or more of the equity, that equity being maybe a third of the total cost of the building and then we would take advantage of what we believe are pretty attractive financing markets right now to borrow the other two thirds of the cost at rates right now that range from LIBOR plus 175 to LIBOR plus 225 pretty attractive, because LIBOR is next to nothing. On the Condo front, as we mentioned earlier, we are moving into a JV with our Sutton project. We may look at another project to choose or be a JV for some of the same reasons. We can capture some of the land depreciation as gain for Toll and the financing costs are very attractive.
Marty Connor: Also the fees that you make for managing the operation, you get all. So if you do 25% you get four times the fees and in fact if you spread it out.
Douglas Yearley: Construction management development fees, absolutely.
Jade Rahmani - KBW: I can figure a few more marketing, finance…
Douglas Yearley: We haven’t always been able to negotiate all those.
Jade Rahmani - KBW: Okay, one other one if I may on just Gibraltar, can you say what the remaining duration of the asset base is and if you have given any thought to potentially monetizing or securitizing those assets given investor demand for in the sub performing space?
Douglas Yearley: Sure, I think when we look at the existing portfolio Gibraltar assets we would expect the majority of the cash flows from those to come back in the next 36 to 42 months, but certainly some assets to drag on longer than that and like all of our business we’re always looking at different alternatives including monetization.
Jade Rahmani - KBW: Great. Thank you very much.
Douglas Yearley: You’re welcome.
Operator: And your final question comes from the line of Buck Horne of Raymond James.
Buck Horne – Raymond James: Well thanks guys. The call has gone on long enough. I’ll follow up with you guys later.
Douglas Yearley: Thank you.
Marty Connor: Thank you very much.
Douglas Yearley: Have a good afternoon everybody.
Bob Toll: Thank you, Amy.
Operator: Yes Sir. Thank you. That concludes today’s conference call. You may now disconnect.
Marty Connor: Thank you.
Douglas Yearley: Thanks everyone.